Operator: Greetings and welcome to the Clear Channel Outdoor Holdings Q1 2025 Earnings Conference Call and Webcast. [Operator Instructions] As a reminder, this conference is being recorded. It’s now my pleasure to turn the call over to your host, Eileen McLaughlin, Vice President, Investor Relations. Eileen, please go ahead.
Eileen McLaughlin: Good morning and thank you for joining our call. On the call today are Scott Wells, our CEO; and David Sailer, our CFO. They will provide an overview of the 2025 first quarter operating performance of Clear Channel Outdoor Holdings, Inc. We recommend you download the 2025 first quarter earnings presentation located in the Financial Information section of our investor website and review the presentation during this call. After an introduction and a review of our results, we’ll open the line for questions. Before we begin, I’d like to remind everyone that during this call, we will make forward-looking statements, including statements about the company’s future financial and operational performance and the company’s strategic goals, the out-of-home industry, and the economy. All forward-looking statements involve risks and uncertainties that may be out of the company’s control, including the macroeconomic environment. There can be no assurance that management’s expectations, beliefs, or projections will be achieved or that actual results will not differ from expectations. Please review the statements of risks contained in our earnings press release and our filings with the SEC. During today’s call, we will also refer to certain measures that do not conform to generally accepted accounting principles. We provide schedules that reconcile these non-GAAP measures with our reported results on a GAAP basis as part of the earnings presentation. When reviewing our earnings presentation, it is important to note that as of December 31, 2024, we classified our Europe North segment and Latin American businesses as discontinued operations for all periods presented. The 2025 first quarter discontinued operations include sold businesses up until their sale date, February 5, 2025, for Mexico, Chile, and Peru, and March 31, 2025, for Europe-North. Additionally, the business in Spain was classified as discontinued operations in 2023. The consolidated results include the American and Airport segments and Singapore. Also, please note that the information provided on this call, including guidance, is based on information currently available to management and speaks only to management’s views as of today, May 1, 2025, and may no longer be accurate at the time of a replay. Please see Slide 4 in the earnings presentation. And I will now turn the call over to Scott.
Scott Wells: Good morning, everyone, and thank you for taking the time to join us today. We are excited to speak with you about our progress as a newly U.S. focused business. As such, we’re going to take a slightly different approach than we’ve typically taken on earnings calls and focus more on where we’re going than on where we’ve been. We’ll be happy to follow up and drill into the past. But today, we’re focused on talking about the future and why we’re optimistic about it. Before we get to that, we know people have a lot of questions about tariffs and the possibility of a recession. We are not macro forecasters, but I want to register several key points relevant to this question. As for recession risk, we believe we provide cost-effective, accountable reach to brands in a world where that is increasingly hard to find. We are also making real strides in selling direct to large advertisers, partly on the back of our robust planning and attribution tools. We will provide more context on this and other initiatives at our Investor Day in September. We de-risked our portfolio. If you look at the COVID downturn, an extreme example, in 2020 and 2021, our European businesses declined substantially more than the Americas declined, largely driven by France. Further, if you look at the U.S. out-of-home market in prior non-pandemic downturns, you see the U.S. market’s resilience clearly. For instance, in the 1991 and 2001 downturns in the U.S., you saw growth slow or modestly decline during the downturn, only to return to growth shortly thereafter. Whatever disruption may occur, we believe our risk is greatly reduced. We have begun to meaningfully reduce interest expense. This has been both the result of the prepayment of the CCIBV term loans and our open market repurchases of bonds. Collectively, this reduces our annualized interest by $37 million. We expect to continue to deploy proceeds from the asset sales or other available cash on hand to reduce debt in the most advantageous way, contributing to AFFO and cash flow growth as permitted under our debt agreements. As promised, we have successfully eliminated approximately $35 million of annual corporate expenses, and we expect we can take that further over the next couple of years. We expect to benefit notably from the recovery of San Francisco this year, our third largest market in America, where it was a substantial headwind in 2023, declining double digits and dropping from our second largest market to third, it is currently setting up to be a tailwind this year with the city cleaning itself up and re-emerging as a destination. We are seeing increased interest by national advertisers there and AI is emerging as a new revenue vertical that is complementary to other tech budgets. We believe that this will likely play out to a decent degree regardless of the macro environment with bookings up double digits so far this year. Finally, this management team is battle-hardened on cost takeout. We have experienced dating back to the dot-com bubble as well as the great financial crisis and COVID, along with experience running a very leveraged company through a variety of environments. We have shown we can be agile adjusting to the environment. All that said, I’m pleased to say that at this point, we are not seeing cancellations or hearing about campaigns being scaled down. Our focus is on cash generation as measured by AFFO, and we are confirming the guidance ranges for revenue and adjusted EBITDA we provided in February and increasing AFFO guidance to reflect debt repurchases. So that’s why we are confident in our company. Now we’ll briefly cover Q1 and go deeper into our future vision. For Q1, we delivered consolidated revenue growth of 2.2%, in line with our guidance in what is always our smallest quarter. Our consolidated revenue growth was impacted by February, which had 1 less selling day in the Super Bowl that wasn’t in one of our roadside markets. For January and March only, our Q1 revenue growth was twice that of the entire quarter. Also in Q1 and into April, we delivered. We signed and closed the sale of Mexico, Chile, and Peru. We signed the sale of our Europe-North segment and closed it faster than we’d even anticipated. Note that our sales to date have amounted to approximately $745 million in purchase consideration. We prepaid the $375 million CCIBV term loans in full. We repurchased approximately $120 million in face value of bonds, resulting in a guaranteed weighted average yield of approximately 14%. We launched the sale process for our business in Spain, which continues to perform well. Dave will go into more detail on the results, but let me reiterate that the first quarter was in line with our expectations. We are confirming our guidance for the full year, and we remain focused on positive cash generation period. As for the future outlook, we believe that it is bright for out-of-home advertising in the U.S. in general and Clear Channel in particular. Here’s why. The simplification of our business is allowing us to reduce interest and corporate expenses. As those come down, we expect to be able to routinely reduce our debt, which is a priority. It is also allowing us to devote more energy to identify creative options to improve leverage using our strong operating and media assets. Since we announced our openness to pursue creative solutions last quarter, we have seen substantial interest from potential counterparties. Nothing to report here yet, but we are actively exploring options that could validate the strategic importance of our hard-to-replicate assets and accelerate our deleveraging efforts. As we have previously emphasized, our visibility into the year is good. We have the majority of our 2025 revenue guidance already booked and a strong pipeline in place for the balance of the year. Also, over 85% of the second quarter revenue guidance is in the books. Our direct outreach efforts to target verticals are yielding fruit. This is from a combination of RADAR analytics and domain-savvy salespeople and makes us more confident in our ability to grow these categories. In 2024, we successfully reduced customer churn due to the enhanced tools we put in place to focus our sales effort on vulnerable spots and from conscious efforts to proactively grow our best customers. We’ll share more on this at our Investor Day, but we currently believe that this is a material opportunity on top of ordinary growth efforts. AI is one of the capabilities fueling that effort and it is proving to be an asset across many parts of our business. For example, AI helped our inside sales team deliver double-digit percent improvement in productivity. We are now actively deploying large language models on activities ranging from customer targeting to creative development. We believe that as these programs are implemented, they should provide tailwinds to our margins and our leading productivity in out-of-home. Also thinking about AI, we believe it is going to have a tendency to make many types of advertising more invasive for consumers, potentially leading to backlash. That likely means it will also be used to make ad blockers more powerful. We believe our presence in the physical world with physical context, coupled with strong insights on aggregate audience delivery should help our medium capture greater share of ad budgets. When you put all this together, the path we’ve been describing of positive AFFO growth, coupled with targeted investment in our business, leading to reduction of leverage before we explore any creative solutions makes us very excited about the future. With that, I’ll hand the call over to Dave.
David Sailer: Thanks, Scott. Please see Slide 5 for an overview of our results. The amounts I refer to are for the first quarter of 2025, and the percent changes are first quarter 2025, compared to the first quarter of 2024, unless otherwise noted. Consolidated revenue for the quarter was $334 million, a 2.2% increase, which was in line with our guidance. Loss from continuing operations was $55 million. Adjusted EBITDA for the quarter was $79 million, down 12.5%, driven in part by the expected decline in our airports rate abatements and the planned ramp-up in the MTA Roadside billboard contract. AFFO was negative $23 million within our expectations. On to Slide 6 for the Americas segment first quarter results. America revenue was $254 million, up 1.8%, in line with guidance. The increase was primarily driven by the MTA Roadside billboard contract with digital revenue up 6.4%, local sales up 2.2% and national sales up 1% on a comparable basis. This is the 16th consecutive quarter local has grown year-over-year. Segment adjusted EBITDA was $88 million, down 8% as expected, with a segment adjusted EBITDA margin of 34.6%, driven by the increase in site lease expense primarily related to the MTA contract and challenging revenue comps in February, as Scott mentioned. Please see Slide 7 for a review of the first quarter results for Airports. Airports revenue was $80 million, up 4%, also in line with guidance. The increase was driven by a 20% increase in national sales, partially offset by a 16.4% decline in local sales on a comparable basis. Digital remains an important driver and was up 15.6% and Airports did benefit from the Super Bowl, which was held in New Orleans this year. Segment adjusted EBITDA was $14 million, down 25% with a segment adjusted EBITDA margin of 17.9%. As we have talked about before, the decline is largely attributable to lower rent abatements. Moving on to Slide 8, CapEx totaled $13 million in the first quarter, a 17% increase. Now on to Slide 9, we ended the quarter with strong liquidity of $568 million, which includes $401 million of cash and $166 million available under the revolvers. This includes the proceeds from the sales of our international businesses. The cash balance also reflects the prepayment of the $375 million CCIBV term loans in full. It does not reflect potential proceeds from Spain or Brazil. And as Scott mentioned, we repurchased approximately $120 million of bonds for approximately $100 million in cash on the open market in April, and we’ll look to continue to capture attractive discounts going forward. We have reduced our annualized interest expense to $381 million, saving $37 million. Now on to Slide 10 and our guidance for the second quarter and the full year of 2025. For the second quarter, we expect our consolidated revenue to be within $393 million to $408 million, representing a 4% to 8% increase over the same period in the prior year. As you can see, this is a meaningful improvement over the first quarter. We expect America revenue to be within $302 million to $312 million, and Airports revenue is expected to be within $91 million to $96 million. As Scott mentioned, we are confirming our full year guidance provided in February for revenue and adjusted EBITDA, and we are increasing full year AFFO guidance to be within $80 million to $90 million, representing an increase of 36% to 54% over the prior year and reflecting lower interest expense related to the bond repurchases we conducted in April. Additionally, we anticipate having cash interest payment obligations of $402 million in 2025 and $381 million in 2026. This guidance has been updated to reflect the prepayment of the CCIBV term loans and the repurchase of bonds in April and does not assume that we repay, refinance or incur additional debt. And now let me turn the call back to Scott.
Scott Wells: Thanks, Dave. I know we’ve reiterated this a couple of times, but I can’t emphasize enough that Q1 came in as we expected, and we have seen nothing in the marketplace to date that causes us to change our guidance for the year. This is not to say that we’re ignoring the headlines and sentiment in the macro economy. We are absolutely planning for contingencies and we’ll pivot should the facts on the ground change. We believe this is a good environment for us to gain media share, and we believe our medium, coupled with the sophisticated data analytics and selling work we’ve been pursuing is gaining traction. So we’re excited about our transition into a newly U.S.-focused business and the opportunities that are emerging across our company and our industry. Our focus is on driving the performance of our higher-margin U.S. assets, including continuing to broaden our revenue streams while reducing our corporate expenses. We expect to deliver mid-single-digit growth in consolidated revenue and adjusted EBITDA this year with significant compound growth in AFFO. If you take our guidance for 2025, apply a reasonable roll forward to AFFO in 2026 for interest savings from further debt reduction and growth in adjusted EBITDA and look at our current market valuation, we believe CCO is a big opportunity. We are committed to delivering on this opportunity for our shareholders. We have a very bright future, and I’d like to thank our company-wide team for their continued contributions to our success as we move to the next stage of our plan and pursue value creation for our investors. And now, let me turn over the call to the operator.
Operator: Thank you. [Operator Instructions] Our first question today is coming from Cameron McVeigh from Morgan Stanley. Your line is now live.
Cameron McVeigh: Thanks. Good morning.
Scott Wells: Good morning, Cameron.
Cameron McVeigh: Good morning guys. I was curious if you could touch further on maybe just your visibility levels into the back half of the year and how that might be trending on a national versus local basis? And then secondly, I wanted to ask where you’re seeing further opportunities for some of these corporate expense reductions? Thanks.
Scott Wells: Thanks, Cameron. I think we aim to address the first one in our script. But what I’d tell you is this is a business that always has pretty good visibility. I mean, I think we described this most quarters. And we tried to dimensionalize it a little bit more given the environment. The things that I would call out that are giving us a lot of confidence as the year ramps in addition to what I said in the script, which was quite a lot, I’ll mention San Francisco again because we suffered with that in 2023, and I think it is going to be a real help to us this year. But it’s not just San Francisco. We’re seeing good progress in a lot of markets this year. And as we look across verticals, we think media and entertainment is going to be solid. We are seeing auto insurance coming back to our medium, and that is a very welcome development. We continue to develop our pharma profile. And so the way I’d characterize it is that as a proportion to guidance, we’re modestly ahead of where we would typically be this time of year, but not wildly so. But the pipeline is strong across a number of those fronts. And both myself and our CRO, Bob Mccuin, have been talking to our largest advertisers. And while everybody is paying attention to the macro, we’re feeling good about people’s commitment to out-of-home as part of their media mix. And I think it’s because of a number of the things that I mentioned in the script. So hopefully, that gives you a sense. Not really going to characterize national versus local in any detail other than just to say that both are looking positive on the balance of the year. In terms of opportunity for cost reduction, we are going to have transition services agreements for quite some time that are going to require us to continue to keep higher levels of a variety of services, everything from managing the financials to taxes to legal and compliance. So there is a lot of things that are going to continue as those things wind down that should be something that helps us. And then as we’ve said before, as we get to the end of those TSAs, we are aiming to have a zero-based budget view that’s comprehensive to everything in the U.S. So this isn’t just corporate expenses. We’re looking at everything that should give us some opportunity. We are not really at a point that we’re ready to give a target on that. I think that’s something you should expect when we’re together in September at our Investor Day.
Cameron McVeigh: Great. That’s helpful. Thanks, Scott.
Operator: Thank you. Our next question today is coming from Daniel Osley from Wells Fargo. Your line is now live.
Daniel Osley: Thank you. Good morning.
Scott Wells: Good morning.
Daniel Osley: I thought the forward booking commentary was helpful and wanted to dig into that a little more. So can you speak to the typical cancellation terms you provide to advertisers? And does that differ between local and national advertisers? And then as a follow-up, does the low end of the guide contemplate any weakness from a macro slowdown? Thank you.
Scott Wells: Okay. So first off, on terms, that, of course, is a very involved question, and I’m going to give you a 50,000-foot answer on it. But our standard terms, cancellations are a 60-day notice period. That is our standard terms, and that’s for printed. With digital, it varies, and it varies depending on whose paper you’re on. But generally, in our space, there are cancellation terms that give us some decent visibility when things are shifting. And again, as I noted in the script, we are not seeing that at all in this current space. In terms of the low end of the guide, we did not attempt to give a sort of full fan of outcomes of all the possible things that could happen. The low end of our guide is based on what we are seeing right now. So, we have not – you would have seen a much broader range of guidance if we were trying to give a full view of what might possibly happen. So, hopefully, that addresses that question.
Daniel Osley: It’s helpful. Thank you.
Operator: Thank you. Next question is coming from Avi Steiner from JPMorgan. Your line is now live.
Avi Steiner: Thank you. Good morning. I have got a few questions here. Just maybe circling back on that last one, I am curious because you did talk about past dislocations in outdoor’s performance. How do you think your asset base, which I think now is more digital, might behave now versus those historical periods? And then I have got a few more. Thank you.
Scott Wells: Sure. I mean I think there is no question that being more digital would give us, if you pull the camera way back, Avi, and I know you know this, outdoor was always seen as being kind of last to go into a dislocation and first and last to come out because the of the timeline associated with our inventory. And with digital, that window is, I think a little different. I don’t think we have had a normal dislocation since more than a quarter of the revenue has been digital. So, the honest answer is we don’t know. But I think the thing that we saw in COVID that is notable is we did see digital come down first, but it came back way faster than the printed. And particularly the automated verticals really showed or the automated customers, the ones coming through programmatically and in other automated ways, showed the closest tracking to the sort of market sentiment. And we are not at all observing anything in that space right now. I mean we thought long and hard about taking as positive a view as we did on our call, but we are doing it from a place of very strong data and a number of factors that I have enumerated in earlier answers in the script that give us that confidence.
Avi Steiner: Appreciate that very much. And I appreciate the Q2 acceleration and the reiteration of guide. I want to approach it from maybe the expense side, if I could. How should we think about site lease expenses as we roll through the year? And maybe the better question is, if we can give us a flavor or a sense of margin cadence as we move through the year, please?
David Sailer: Look, from a site lease standpoint, I think it’s everything we have been talking about in the past. If I talk about it for airports, I mean we have mentioned this probably numerous times. We are obviously not going to get the relief that we have gotten in the last several years. I mean that is that fund is definitely is complete. So, the margins will be different for airports when we were in the 20s. I mean I think the first quarter of last year for airports, we were close to 25%, and that was really driven. I was on good performance of the business, which we are still seeing for airports, which is great, but you are not going to get that extra from site lease relief that we have gotten from COVID. So, I think it’s going to go back to what we have been talking about from an airport standpoint, around 20%, which is historically higher than it was prior to COVID. So, that business has really performed the top line. That business has really increased the margins of that business. So, that’s been really solid. And I would also say for both segments. In the first quarter, the margins are always going to be lower. It’s just the media industry, there is less ad sales in the first quarter as it is second quarter to fourth quarter. So, that’s going to drive your margins as well. For America, I mean the biggest one we have talked about is really the MTA contract, which – look, that contract is going to be great for the business. It’s just in the early stages of the contract, and we have mentioned this before, that contract is going to ramp, and that’s going to help us as we get down the road, but that has a little bit of effect on our margins in the short-term and especially in the first quarter.
Avi Steiner: Appreciate that very much. And maybe sticking with you, if I can, to questions around the debt, can you remind us what gave you the flexibility to buyback senior versus secured? And can you speak to why you left that debt outstanding as opposed to retiring those bonds?
Scott Wells: Sure. I mean look, it really comes down to where we are going to get the best yield as we are looking at our capital structure. And look, with the transactions moving forward, I mean it’s great for the business to see the liquidity that we have. At the end of the first quarter, we had cash on the balance sheet is $400 million. Liquidity is in excess of $550 million. So, when we are looking at our capital structure, we are really looking at what is the best yield, what would give us the greatest discount as we are looking at our capital structure. And for me, it’s just great to see that we are bringing down our debt to pay down the BV notes with the proceeds from Europe of $375 million. And in addition to that, paying down another $120 million of the bonds, I think is really fantastic. As far as the reason we are able to do that is really the reinvestment provisions in our debt agreements allow us an 18-month reinvestment period to go after the debt. So, that’s really how that played out.
Avi Steiner: Okay. One very last one, if I can. But I think you teased everyone by saying and I am trying to quote you here, substantial interest from potential counterparties. I don’t know if you can or want to frame up maybe some of the creative things you are looking at and how that might help drive valuation and help the company deliver. And thank you all for the time.
Scott Wells: Thanks Avi. Yes, I know you are curious about this one. We have been pleased with the affirmation of what we perceived to be the assets we were bringing, which is that we are a good operator with very strong assets. We have gotten validation on that by the interest that we have seen, and it is just way too early to talk about any specific resulting opportunities, but we are encouraged.
Avi Steiner: Thank you all.
Operator: Thank you. Next question is coming from Lance Vitanza from TD Cowen. Your line is now live.
Lance Vitanza: Thanks guys. At both America and airport, it looks like the static of the print revenues were actually down a little bit year-on-year, I am wondering, is that evidence that digital is to some extent cannibalizing the print revenue, or is that the wrong conclusion? And maybe more specifically, do you expect print revenue to return to growth in either the second quarter or the second half of the year? Thanks.
Scott Wells: Hey Lance. I think every quarter, there is some variant of this question, and it is just idiosyncratic. I would expect print will be a grower over the course of the full year. I think we had some campaign unique drivers in it. So, I am not at all in a place where I am thinking print is imperiled by digital at all. There are a little bit of different use cases.
Lance Vitanza: Thanks.
Operator: Thank you. Next question today is coming from Aaron Watts from Deutsche Bank. Your line is now live.
Aaron Watts: Hi everyone. Thanks for having me on. Just two questions, first, a clarifier on your America growth. Curious what the impact is of the new MTA contract on the 1Q growth of 1.8% and the 2Q guidance where you are calling for 4% to 8% growth, just trying to get a sense of the underlying market strength as you move from 1Q into 2Q.
Scott Wells: Great. So, I think we dimensionalized the MTA as a couple of points on the full year. And I think that’s a reasonable thing overall. I wouldn’t draw a lot of conclusions about market strength in Q1, looking at our numbers, because of the dynamics we called out in February, because that was a pretty meaningful difference, the extra day last year, plus the Super Bowl. So, again, I think the point we were trying to make about where April – or excuse me, where March and January were in the script is the more relevant, what’s the underlying market point.
Aaron Watts: Okay. Perfect. Thanks Scott. And then secondly, just maybe Dave, you spoke to the healthy liquidity position. Remind us what the minimum amount of cash you would like to keep on hand is. And I understand you have a revolver at your disposal as well. And then relatedly with the capital structure, how are you thinking about addressing your ‘27 debt maturity? I imagine you would like to start to attack that over the course of the next year, any different approach this time versus how you have dealt with the capital structure in the past?
Scott Wells: Sure. I will start with the capital structure question first. I mean look, that’s some of the most attractive debt with a really good interest rate on it. I mean just to remind the group, I mean that’s due in the second half of 2027. So, we do have a little bit of time there. And look, we will be watching the markets, looking at windows open and close. But I think that’s something that we are going to address as we get into 2026. Why not something we are going to address in 2025? And obviously, unless something interesting comes out, out there, but I think we are in good shape from that standpoint. And as far as the cash on hand, obviously, we kept more cash when we were an international business. And what I would want to point out here is really by selling the international businesses in Europe and Latin America, we really have de-risked the business. When I think about past recessions or when we went through COVID, really the burn from those businesses was much greater. So, the burn came from those businesses as opposed to the U.S. business, so definitely a lot less risk in the business moving forward. We are still managing it from a cash standpoint. It’s great to see the liquidity that we have on the balance sheet, as I mentioned before, the $400 million of cash, which we utilize some of that for debt pay down. But we will manage that over the year, and we will come out with the right number. But right now, we are not there yet.
Aaron Watts: Alright. Thanks again.
Operator: Thank you. Our next question is coming from David Kronofsky from JPMorgan. Your line is now live.
David Kronofsky: Thank you. Scott, you alluded in your prepared remarks to a near-term future where AI is going to create some privacy issues on the digital side without or maybe a beneficiary. And I don’t know if you can dig into that dynamic a bit more. And then for David, is it just possible to quantify at all the ultimate headwind from the L.A. fires to either the quarter for your outlook? Thanks.
Scott Wells: Thanks David. Yes. I mean I don’t want to dig into other media issues in too much detail other than to say, I think whatever degree of intrusiveness people perceive now, and I know an awful lot of pre-rolls get skipped and an awful lot of blockers get deployed, as the AI gets more specific in how it is addressing you as a consumer, I think there is an excellent chance that that’s going to make people uncomfortable. And that’s going to cause people to deploy blockers who maybe haven’t deployed them to-date. And that’s really the point that I was trying to get to. This is a constant arms race in our industry. And I think that we are at a moment in time where our positioning in the public square is going to be an increasing advantage.
David Sailer: Now, look, as far as the L.A. fires which obviously was just a horrific event, which happened in January, I mean I don’t have a specific number. It obviously didn’t help. I mean during that time period, I mean both businesses, our team, our sellers, our entire team, obviously they were worried about their families and their friends and what was going on. So, obviously not a lot of bookings were happening during that time period. And I actually think some of that probably had an impact on February and what Scott was talking about earlier, but there is not a specific number. But obviously, it didn’t help in the first quarter.
David Kronofsky: Thanks.
Operator: Thank you. Our next question today is coming from Patrick Sholl from Barrington Research. Your line is now live.
Patrick Sholl: Hi. Good morning. I was just curious in terms of, like, the conversations you have around digital conversion, if those have – how maybe some of, like, the trading out of static versus digital has maybe changed over time?
Scott Wells: I am sorry, Patrick, could you unpack that one a little bit more? I am not sure I am following the question.
Patrick Sholl: I guess I am curious like to the extent that municipalities are maybe more open to digital conversion with the potential revenue benefits and local tax gains from that helping their balance sheets and spurring more digital uptake?
Scott Wells: Yes. I think it’s a really – I understand where you are going. As municipalities feel more pinched, the odds of them being open to a dialogue on it, do tend to go up, very, very hard thing to generalize on broadly. We have a number of markets where we are in the 50% plus digital revenue range, and largely those are in municipalities that have embraced it and have seen it as a positive. Oftentimes, they have gotten reduction of printed assets in return for embracing digital, but it’s been a net positive for the industry, and the municipalities can speak for themselves. The degree to which this is an emotional issue in cities remains. And I just, I would not paint a picture that everything is moving in our direction. I would paint the picture of, we are working on it and we are working to be good partners to cities and striving to get more opportunities for conversion. But I think the – and I have talked about this on other calls in the past. We have kind of a steady state of conversion that we do and what we forecast that tends to be based on what work products our group of real estate professionals can generate in any given year in terms of getting the ordinances adjusted, getting permits, etcetera. Where we tend to spike when we are doing conversions is when we actually have a city do what you are describing, which is a broad-based change of heart. And we are working on a number of those at any given time, but they are incredibly difficult to forecast. So, I think that in general, a lot of the objections to digital have been either addressed by technology. We have ways to diminish the light pollution. We have ways to address a lot of the arguments that people have against it, but it remains something that is a city-by-city decision process. Hopefully that helps.
Patrick Sholl: Yes. Thanks. I was just curious if you could maybe talk about some of the digital products and like your RADAR capabilities and how that’s helped in terms of keeping ad revenue strong in your guidance and in the second quarter?
Scott Wells: Yes. I mean I appreciate the question. RADAR has been a real positive for us, meeting marketers where they are in terms of their expectation of analytic insights. It has become a very heavily used tool in the planning part of the business across all of our customer base. So, national, regional, local, kind of every level, the RADAR view planning tool and the different market segments that we have that let people see audience details is something that is very widely embraced and very widely used. Attribution is a little narrower and it tends to go to the marketers that are most focused on their performance dashboards. But what I think has been the most powerful thing for us is the work that we have done in terms of integrating our data with various industry-specific specialists. So, there are industry-specific CPG specialists, there are industry-specific pharma specialists, automotive, etcetera. And that has been a real differentiator for us in terms of being able to get meetings, get trial, and then ultimately get on the routine planning. And I think if you look at the progress we have made over the last 4 years or 5 years in our direct client outreach, you really can’t separate RADAR from the industry vertical savvy salespeople that we have, the two work hand-in-hand and are a big part of what is driving our ability to bring new advertisers to the category. Hopefully that helps.
Patrick Sholl: Yes. Thank you.
Operator: Thank you. We have reached the end of our question-and-answer session. I would like to turn the floor back over for any further or closing comments.
Scott Wells: Great. Thank you, Kevin, and thank you everyone for joining us today. Hopefully it came across, but we are very confident of the opportunity that lies ahead. And we believe very much that CCO is a great opportunity for our investors. So, thank you all and have a great day.
Operator: Thank you. That does conclude today’s teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.